Operator: Welcome, ladies and gentlemen to the Bird Construction Fourth Quarter 2019 Financial Results Conference Call. We will begin with Mr. Teri McKibbon's presentation, which will be followed by a question-and-answer session. [Operator Instructions] As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] Before commencing with the conference call, the Company reminds those present that certain statements which are made to express management’s expectations or estimates of future performance and thereby constitute forward-looking information. Forward-looking information is necessarily based on a number of estimates and assumptions that, while considered reasonable by management are inherently subject to significant business, economic and competitive uncertainties and contingencies. Management’s formal comments and responses to any questions you might ask may include forward-looking information. Therefore, the Company cautions today's participants that such forward-looking information involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the Company to be materially different from the Company's estimated future results, performance or achievements expressed or implied by the forward-looking information. Forward-looking information does not guarantee future performance. The Company expressly disclaims any intention or obligation to update or revise any forward-looking information whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Teri McKibbon, President and CEO of Bird Construction. Please go ahead, Mr. McKibbon.
Teri McKibbon: Good morning and thank you for participating in Bird Construction's Fourth Quarter and Fiscal 2019 Conference Call. Co-presenting with me today is Wayne Gingrich, our CFO. In the fourth quarter of 2019, the company continued to execute a more diverse work program and delivered improved net income and adjusted EBITDA both quarter-over-quarter and year-over-year. Adjusted EBITDA and adjusted EBITDA margin in the fourth quarter of 2019 were $16 million and 3.81% respectively. Adjusted EBITDA increased $4.2 million or 36% from $11.8 million in the fourth quarter of 2018.  Adjusted EBITDA margin increased 75 basis points from the 3.06% recorded in the fourth quarter of 2018. Adjusted EBITDA and adjusted EBITDA margin for the fiscal 2019 year was $32.3 million and 2.35% respectively. Adjusted EBITDA increased $21.4 million or 196% compared to $10.9 million in fiscal 2018. Adjusted EBITDA margin increased 156 basis points from the 0.79% recorded in fiscal 2018.  We are pleased with the continued progress completing our challenging legacy projects and in the impacts of our efforts to diversify our revenue stream across a portfolio of both geographic and balanced risk profiles. Subsequent to year end, the company achieved financial performance on a PPP project, the Niagara Falls Entertainment Centre.  We continued to be encouraged by the growth of our pending backlog, of which many are in a delivery model that supports more traditional portfolio risk balance of Bird and our overall work program and our earnings base has begun to reflect this.  While Bird saw some headwinds in the first half of 2019, it reached a more steady state in operations for the back half of the year and on behalf of the company I want to thank and recognize all the employees of Bird for their continued hard work and dedication during our earnings rebuild.  In the fourth quarter of 2019, the company executed a sub-contract with East-West Connectors that the consortium contracted by the City of Ottawa to design, build and finance the Stage 2 Confederation Line Extension CLE project in Ottawa, Ontario. Bird will construct seven Confederation Line Stage 2 light rail transit stations and one light maintenance and storage facility. Substantial completion of the East Extension is expected in 2024 with the West Extension to achieve substantial completion in 2025. At yesterday’s Board Meeting – Board of Directors Meeting, the Board declared monthly eligible dividends of 3.25 cents per common share for March of 2020 and April of 2020. Wayne will now take you through the financial performance for the quarter and year-to-date compared with the prior year. 
Wayne Gingrich: Thanks, Teri. I will now discuss the three months ended December 31st 2019, compared with the same period of 2018. During the fourth quarter of 2019, the company recorded net income of $8.2 million on construction revenue of $420.6 million, compared with net income of $6.4 million on $385.9 million of construction revenue in 2018.  The year-over-year increase of revenue in the fourth quarter of 9% was driven by growth in the industrial work programs, more than offsetting a decline in the institutional work programs. The year-over-year increase in fourth quarter net income is reflective of the improvement in earnings attributable to the mix of higher margin industrial work program in the fourth quarter of 2019.  The company’s fourth quarter gross profit of $26.4 million was $3.8 million or 16.2% higher than the $22.7 million recorded a year ago. The increase in the amount of third quarter 2019 gross profit is driven by the higher quarterly construction revenues year-over-year.  In addition, the increase in gross profit is due to a higher margin work program as revenue contribution shifted from institutional and commercial projects to a more balanced work program in 2019. The gross profit percentage in the fourth quarter of 2019 was 6.3% which was 0.4% higher than the gross profit percentage of 5.9% recorded a year ago. Gross profit percentage in 2019 improved due to a larger volume mix of revenue recognized in the company’s higher margin, self-perform operations in its industrial work programs. Income from equity accounted in investments in the fourth quarter of 2019 was $0.7 million, compared with $1.5 million in the same period of 2018.  The income in the fourth quarter of 2019 and 2018 was primarily driven by the margin earned from a project in Eastern Canada. The income in fourth quarter of 2019 was lower year-over-year due to losses from some P3 equity-accounted entities which were anticipated as they are savings of the project lifecycle.  In the fourth quarter of 2019, general and administrative expenses of $16.3 million, or 3.9% of revenue were $1.1 million higher than the $15.2 million, or 3.9% of revenue in the comparable period a year ago. The company had additional third-party pursuit cost which were $1.2 million higher than the amount recorded in 2018.  In the fourth quarter of 2019, the company also had a lower foreign exchange gain compared to foreign exchange gain of $0.9 million recorded in 2018. Offsetting the negative earnings is compensation expense was $1.3 million lower than the amount recorded a year ago primarily due to the gain recorded on the total return the total return swap program in 2019.  Finance income of $0.8 million in the fourth quarter of 2019 is comparable to the $0.5 million recorded in the same period of 2018 due to higher cash balances. Finance and other cost of $1.6 million were $0.4 million lower than the $2 million recorded in the fourth quarter of 2018. The decrease was due to a gain on interest rate swaps and a decrease in other financing costs.  In the fourth quarter of 2019, income tax expense was $1.9 million compared to income tax expense of  $1.2 million recorded in the fourth quarter of 2018.  I will now discuss the fiscal year ended December 31st 2019 results compared with the prior fiscal year. In fiscal 2019, the company recorded net income of $9.5 million on construction revenue of $1.376 billion compared with a net loss of $1 million on $1.382 billion of construction revenue in 2018. Although volume was stable year-over-year the mix of revenue is more diversified as account of these higher margin industrial work program has ramped up throughout the year. The year-over-year income improvement was primarily driven by the increase in gross profit from the shift in the mix of revenue in 2019, while the total revenue was essentially flat year-over-year, the company's revenue from industrial work programs increased year-over-year throughout 2019. This essentially offset the reduction in the institutional work program and provided the company with more balance in its overall work program.  The company's 2019 gross profit of $71 million was $13.4 million or 23.2% higher than the $57.6 million recorded a year ago despite lower revenues. The increase in the amount of gross profit was driven by higher margin projects as a result of a shift in the mix of revenue from institutional projects to more self-perform industrial projects in 2019. The company's gross profit percentage in 2019 of 5.2% was 1% higher than the gross profit percentage of 4.2% recorded in 2018.  Gross profit percentage in 2019 improved due to a larger volume mix of revenue recognized from the company's higher margin self-perform operations in its industrial work programs. Income from equity accounted investments in 2019 was $2.7 million compared with $1.9 million in 2018. The increase in income in 2019 was primarily driven by the earnings from non-P3 equity accounted entities.  In 2019, general and administrative expenses of $58.7 million or $4.3% of revenue were $0.2 million lower than the $58.9 million, but the same 4.3% of revenue in 2018. In 2019, the company incurred net $2.6 million in third-party pursuit cost which was $0.4 million lower than the $3 million incurred in 2018.  And while net compensation expenses were $0.2 million higher year-over-year it is primarily due to the company incurring $2.9 million of severance costs, and $3.8 million higher for income share program expenses being mostly offset by a $6.2 million reduction in the total return swap expense.  Finance income in 2019 of $2.6 million was $1.2 million higher than the $1.4 million recorded in 2018 due to higher average cash balances year-over-year. Finance and other costs was $5.6 million in 2019 was $1 million higher than the $4.6 million reported in 2018. Most of the year-over-year increase was due to $0.9 million of interest cost recognized upon adoption of IFRS 16.  There was also $1 million of interest cost associated with non-recourse project financing. However, this was offset by a gain on interest rate swaps of $0.9 million. In 2019, income tax expense was $2.5 million compared to an income tax recovery of $1.7 million recorded in 2018. The year-over-year increase in income taxes was consistent with the income taxes associated with the income before income taxes in the current year.  I will now turn the call back over to Teri to comment on the future operating performance for the company. 
Teri McKibbon: Thank you, Wayne. The company remains focused on investing in both people and technology and in diversifying its earnings base with a stronger margin profile. The mix of revenue in 2019 differs from that of 2018 as evidenced by the increase in industrial work program relative to work performed in the institutional and commercial sectors. This trend is expected to continue through 2020.  The institutional market contributed 43% of 2019 revenues versus 53% in 2018. The industrial market sector contributed 39% of 2019 revenues versus 30% in 2018. The retail and commercial sector contributed 18% of 2019 revenues versus 17% in 2018. At December 31st 2019, the company was carrying a backlog of $1.547 billion, which is 19.4% higher than that recorded a year ago.  The company expects to recognize 66% of the remaining performance obligations over the next twelve months with the remaining balance to be recognized beyond twelve months. This expectation is based on management’s best estimates that contains uncertainty as it is subject to factors outside of management’s control.  In the fourth quarter the CLE project was reported into backlog and is expected to span across four fiscal years which provides some long-term visibility in the company’s work program. The embedded margin in backlog improved throughout 2019 driven by several factors including the positive impact of new contract awards with higher entry fees, the addition of agency fees and construction management contracts combined with the diminished influence of selected dilutive contracts that were either completed in the fourth quarter or nearing completion.  The $1.628 billion of new contract awards and change orders executed in 2019 are across a broad range of markets and contracting methods that will help the company achieve a more diversified work program and a more balanced risk profile.  In addition, the company has greater than $625 million in pending backlog as of the end of the fourth quarter of 2019 included in pending backlog is the Advanced Nuclear Materials Research Center in Chalk River, CNL. The validation phase of the CNL project which will be delivered under an IPD delivery model is expected to extend into the first half of 2020 before converting into backlog. The remaining pending backlog projects are geographically diverse, span multiple sectors and are expected to be recorded to backlog in the first half of 2020. Longer term pipeline remains healthy and falls within our target risk of risk tolerance. The company will be selective on prospective pursuits, ensuring that the available talent matches the risk profile of the project and the overall work program.  In the near-term, opportunities will primarily consists of smaller environmental projects mid-sized social infrastructure projects and a range of projects in the LNG and oil and gas sectors. The award of any of these projects will benefit the second half of 2020 and beyond. In 2020, the company expects equity investments in PPP projects. This is consistent with the company’s strategy to recycle equity and these types of contracts into future project opportunities. The company expects to benefit in 2020 from having more balance in terms of the contractual risk profile of the work programs coming into the year.  This can be seen in the disaggregation of revenue in the company’s 2019 annual financial statements whereby revenue earned in higher risk contract categories such as PPP, alternative finance and complex design projects comprise 20% of total revenue in 2019 versus 23% in 2018. The proportion of higher risk revenue will decrease further in 2020.  Diversification over the past several years into LNG, nuclear, public transit modular and environmental sectors with lower risk contract types will help stabilize earnings with more balance in the work program based on the risk profile and margins embedded in the current contract backlog and the pending backlog we’ll achieve higher levels of profitability and consistency in earnings in 2020. This concludes the prepared remarks section of the conference call. I will now turn the call over to the conference call operator who will take your questions in turn. 
Operator: [Operator Instructions]  The first question comes from Yuri Lynk with Canaccord Genuity. Please go ahead. 
Yuri Lynk: Hi, good morning guys. 
Teri McKibbon: Good morning. Yuri.
Wayne Gingrich: Good morning. Yuri.
Yuri Lynk: With the problem projects more or less complete and your diversification efforts are well underway, what’s the long-term potential guides for gross margin back a few years ago, that was a high-single-digit number. Obviously, there have been lots of changes since then. So, what’s realistic to expect, I am not talking this year, but as you guys ramp up towards where you want to take the company?
Teri McKibbon: I think we can return to the levels I have seen in the past, I mean in 2020. It may take a couple of years to ramp up there. But certainly that’s what we are focused on. 
Yuri Lynk: Okay. Because, I think, in the past that was driven by a lot of – a lot more design build. I think the mining assets that I think you still have were probably higher utilized than they are now. So, where would you be picking up margin vis-à-vis the shift in work away from those areas?
Teri McKibbon: I think in general, we are looking at getting more self-perform work across entire work program. 
Yuri Lynk: Okay. 
Teri McKibbon: I think the mix of industrial as well as you look at the sectors we are in, Yuri you are seeing we are across a very diversified sector of industrial work that we wouldn’t have been in years past. So you are seeing a very broad industrial program that’s growing. So it’s obviously very accretive to that increase in gross profit. 
Yuri Lynk: Okay. Just switching to free cash flow. So, obviously, a nice improvement in EBITDA this year. But you are still negative on free cash flow, almost – Wayne, what are your working capital requirements for 2020? Should we see some more normalized working capital needs and also any guidance on CapEx would be helpful? 
Wayne Gingrich: Yes, the first comment I would make on the free cash flow, I think we are just doing the straight calculation of the cash flow statement, one of the adjustments you may want to consider making is this, the – in the OPP Phase 2 modernization project, which is an alternative finance project. So while you are growing the contract as it there, the cash that’s received from the non-recourse project financing is included in the financing section.  So if you are going to include the growth in the contract asset, we also like to include the financing associated with it and that will be cleared obviously at the end of the project lifecycle. So in factoring in that I think the $72 million adjustment to the free cash flow cycle, so that were about $21 million in positive free cash flow in 2019.  And then, I think in terms of our working capital needs for the year, I think we are still going to see growth in our non-cash working capital through the course of the year. I think our trend that we saw in 2019 will probably be reflected again in 2020 where Q1 is going to be a quarter where we use cash and then towards the end of the year we will see that cash move out of non-cash working capital and back into carry balances. 
Yuri Lynk: And CapEx?
Wayne Gingrich: CapEx I think will be consistent with prior years as well and if there is a project-specific capital requirement that we need to make. 
Yuri Lynk: Thanks for the color. That’s it for me guys. Thank you. 
Wayne Gingrich: Thank you.
Teri McKibbon: Thanks, Yuri.
Operator: Our next question comes from Mark Stuebing with TD Securities. Please go ahead. 
Mark Stuebing : Good morning. It’s Mark on the line for Michael here. You mentioned that in 2019 Bird derived 39% of your revenues from industrial. Can you comment on what proportion of this is related to oil and gas? Is it primarily LNG-related work? Or is there a meaningful due to oil and gas? 
Teri McKibbon: So if you split across the acronyms of oil, gas and LNG, there is certainly on the oil side, very small percentage probably in our backlog today is less than 1% and you look at what we are doing more sustaining capital MRO type opportunities, we are very busy with the various gas related initiatives where you are increasing capacity of existing lines building facilities and have been quite busy in that space.  We have had a higher – some higher oil demand with the projects like Line 3. Glad we are through that and most of that capacity now is consumed on gas. And then obviously the LNG side where you are also – you are building assets - long-term assets for the longer – the development of LNG in Canada. It’s kind of the mix. So, it’s tricky to split gas from LNG, but it’s easy to split oil from LNG and gas. 
Mark Stuebing : Thank you. That’s helpful. And I was wondering if you could provide an update on the stack modular business and comment how that operation has been affected by the Coronavirus if at all?
Teri McKibbon: Yes, so the – obviously we have something that’s quite, call it disruptive to the traditional construction style of building it does take it time with a good success on our early projects. And it continues to evolve, continuing to see new opportunities as a longer – I’d say a longer phase of evolution in that space just because of the nature of it. It's considerably different to build a building with modules versus stick build.  So I'd say there is bit more time that we are spending on this and we are finishing very successfully the first project we got underway. The second is mid-stream. We have a third one evolving. We’ll see if it gets beyond early design work. But – and then, as far as the impact on our facilities, we were impacted certainly mid-January by COVID-19 and it occurred in a timeframe that would traditionally be Chinese New Year for us. So we had that block planned in our production.  So Chinese New Year for us is usually an impact of about four weeks between shutdown and commutes and ramping back up. So we are ramped back up now to meet our expected demands. So, for us, obviously, first and foremost, always concerned about health and safety of our workers and in China we really haven’t had or expect to have any material impacts.
Mark Stuebing : Thanks. And I guess, a last one for me is, would you be able to provide an update on your activities in the Ontario Nuclear markets? And I know you mentioned the CNL project in Chalk River is expected to be covered into backlog in F1. I was like – just wondering how quickly that were to ramp up. Is it expected to… 
Teri McKibbon: Well, you can imagine that being complex nuclear lab, it’s probably a little slower evolution with materials and things like that. So, I’d say the ramp up would be slower than a typical construction project just because we're going through a lot of permitting and lot of things like that. So, I’d say, it’s probably slower than other activities.  We’ve been working through this IPD model which is a very effective model for this type of work where you got really complex delivery. It’s been really effectively the number of IPD projects now in Canada that we are using. We like this model. And it’s sort of similar to alliance type models because, I think any time you do a project of complexity of scale, if you can have the construction team on the front-end of it for a significant period of time, you are spending a lot of time refining design and what not?  So – but beyond that, other nuclear sites, we are pretty much on every nuclear sites in Ontario with some level of activity, ebbs and flows, depends on timing of things. But I think we have a good resume and continue to explore new opportunities and obviously very robust demand in that sector across the various activities in nuclear in Ontario in Canada. But – so we expect to be in that space for some period of time. 
Mark Stuebing : Great. That’s it for me. Thank you. 
Operator: [Operator Instructions] There are no further questions at this time. I will now hand the call back over to Mr. McKibbon for closing remarks. 
Teri McKibbon: Thank you again for participating in Bird Construction’s Fourth Quarter and Fiscal 2019 Conference Call. We're pleased with the sequential quarter-over-quarter and year-over-year performance improvement and expect a more stable execution of our growing and more diversified backlog with a risk profile of backlog that’s more within our target range. We look forward to celebrating the century mark for our company with our clients, shareholders and employees through 2020.  As always, Wayne and I are available if additional information is required, so please do not hesitate to get in touch with us. Have a nice day. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.